Michael Judd: That's what we're building Opendoor for. It's why the results we're sharing today matter because every number behind them represents a homeowner who got to focus on what comes next instead of what comes with selling. I'm Michael Judd, Opendoor's Head of Investor Relations. Welcome to Opendoor's Fourth Quarter 2025 Earnings Live stream. Details of our results and additional management commentary are available in our earnings release, which can be found at investor.opendoor.com. The following discussion contains forward-looking statements within the meaning of the federal securities laws. All statements other than statements of historical fact are statements that could be deemed forward-looking, including, but not limited to, statements regarding Opendoor's financial condition, anticipated financial performance, business strategy and plans, market opportunity and expansion and management objectives for future operations. These statements are neither promises nor guarantees, and undue reliance should not be placed on them. Such forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Additional information that could cause actual results to differ from forward-looking statements can be found in the Risk Factors section of Opendoor's most recent annual report on Form 10-K for the year ended December 31, 2025, and other filings with the SEC. Any forward-looking statements made on this webcast, including responses to your questions, are based on management's reasonable current expectations and assumptions as of today, and Opendoor assumes no obligation to update or revise them, whether as a result of new information, future events or otherwise, except as required by law. The following discussion contains references to certain non-GAAP financial measures. The company believes these non-GAAP financial measures are useful to investors as supplemental operational measurements to evaluate the company's financial performance. For a reconciliation of each of these non-GAAP financial measures to the most directly comparable GAAP metric, please see our website at investor.opendoor.com. With that, let's get into the open house with Kaz and Christy.
Kasra Nejatian: Good afternoon, everyone. Early in my career, I used to write a plan that told my team what we were going to get done during any given cycle. Then at the end of the cycle, I would go through the dock and color every sentence of the plan, green, yellow or red, based on whether we had done what we said we would do and if we were on track to go where we wanted to go. I kind of always found it useful to write things down so you can hold yourself to account. With that in mind, I'd like to remind you of the last financial open house. In my first open house, I told you that we had a 4-step plan to turn Opendoor around with renewed energy. Let's go back in time and listen to what I said. So here's our 4-step plan to channel that energy. First, by the end of next year, we will drive Opendoor to breakeven. We think about this in terms of adjusted net income on a 12-month go-forward basis. That means Opendoor will start generating cash and will never be forced to raise equity ever again. Second, we will drive significant positive unit economics while increasing the velocity at which we transact in homes. This includes launching financial services like mortgage. Third, as we increase our unit economics, we will change the company's focus from primarily building channels to transacting directly with buyers and sellers. We're also going to focus on reducing our days in possession rather than arbitrarily increasing spread, which has had genuine significant negative consequences for us. Fourth, once we've accomplished the first 3 steps, we're going to focus on allowing buyers and sellers to transact on Opendoor without having to buy or sell from Opendoor. This is going to significantly lower our capital risk, but more importantly, it's going to give folks options they want. Today, I want to grade Opendoor against these 4 steps. And then I'll give you some details. Here's the bottom line. We did what we said we would do. But let's go through this line by line. So we're on track for our first step. We're driving Opendoor to be adjusted net income positive by the end of 2026 on a 12-month go-forward basis. The goal is simple, start by generating cash and never be forced to raise equity ever again. Second, since September, we've increased our acquisition velocity by 300%. We bought 537 homes last week alone. In the last -- the third quarter, we did only 128. And we grew while we drove significant positive unit economics. This improvement is a result of deliberate change to our product, our pricing strategy and our operations. Most importantly, our October 2025 cohort, which is the first full cohort under Opendoor 2.0 and it's the first one with enough sell-through data is performing really well. I'll get back to this in a second. Third line, we grew our DTC acquisition contracts while reducing our average days in possession. Comparing this last week to the last week of the third quarter, we've grown our DTC acquisitions by almost 700% and reduced our days in possession by almost 25%. Fourth, we've made it easier for sellers to choose the path that works best for them. And increasingly, they're choosing our capital-light product, Cash Plus. In the last week of Q3, Cash Plus was about 19% of our total contracts. Last week, it was 35% of a much higher volume. To give you a sense, Cash Plus was over 600% bigger last week than it was in the last week of Q3. This is the first step towards our goal of allowing buyers and sellers to eventually transact directly with each other. Christy is going to go through all the details of all the financials. But before she does, I want to say this. We laid out a plan for you. We're going to turn this company around, and we laid that plan out during Opendoor 2.0's first open house. That plan is working. We're green all across. We're already delivering results and are on track to deliver against our mission. In a minute, I'm going to tell you a lot about our product changes and all the things we've done since Q3. I'm really proud of how fast our team is moving and how much we're shipping. And the list I'll tell you about is a public CEO's dream. It sounds good in the script and it looks amazing in a pitch deck. But look, I know what this sounds like. New products, expanded TAM, ops improvement, pricing efficiencies and a bunch of business school words like strategic operationalization of North Star paradigm shifts with best-in-class synergy. Oh, flywheel. Look, I get it. Every public company does a stupid dance that pretends, folks can't look at the slope of a graph. One of my favorite investors, -- Sir John Templeton, used to say the 4 most dangerous words in investing are this time, it's different. So I'm not going to sit here and say random school words and ask you to believe that this time is different. This time, I'm going to show you. Our October acquisition cohort, which is the first cohort of Opendoor 2.0 that has had reasonable sell-through data is on track to be the most profitable October cohort in company history. Again, when it comes to the key metric that matters, our contribution margin, October 2025 is on track to be the most profitable October since Opendoor was incorporated. And we achieved this in the middle of the most aggressive market expansion in Opendoor's history. Given that this isn't really the strongest housing market, this performance, I think, shows a structural shift in how we operate, a shift that I genuinely think will be durable across macro cycles. We are no longer a prop desk. We're now a market maker. And I want to put a finer point on this cohort. What makes this cohort significant isn't just the margin level. It's the shape of the cohort. From 10% to 50% sold through, our margin degradation relative to home price appreciation has been the lowest of any cohort in our history, not any October cohort, any cohort period. That the October cohort is going so well is not a plan. It's a proof point. The product launches I'm going to talk to you about aren't promises of things that might work. They're the explanation for why October happened and why it's repeatable. Now look, because we're committed to transparency, let me get ahead of a couple of things. October was not our largest cohort by volume. But it was about double the size of what we were doing just a few months ago. We're not getting lucky on a few homes in a friendly market. And given how the past few weeks have gone, I believe we're on track to significantly increase our acquisition size as we said we would do. What October shows is that the structural changes we made under Opendoor 2.0 are working. And then we're compounding those learnings into every single cohort going forward. We have a lot left to prove. I know that. But for the first time, we're not asking you to take our word for it. This is a new company. Look, the way I think about my job is that my job is to build Opendoor as those product. Just like Tesla builds robots that build cars, my job is to build the tools and the systems inside Opendoor that help us build a great product. In the last few months, we've made a great deal of progress on this front. I don't want to spend a lot of time talking about this, but I kind of want to take a second to talk about the most important part of it. As Vinod Khosla says, the team you build is a company you build, not the plan you make. Today, 18 people report to me at Opendoor. Of those 18, 10 didn't even work at Opendoor a year ago. Our 10-K filing has a list of our executive team, and you can take a look at it. Not a single one of those people on that list was in our last filing. Since I joined Opendoor, we have a new Chief Operating Officer, a new CFO, a new President, a new Chief Growth Officer, a new Chief People Officer and a new Chief Business Officer. This is a world-class leadership team that I would put up against any other tech company. And on top of this, Opendoor 2.0 is the single most AI-pilled company in the public market that I know of. Let me give you an example. Not that long ago after we bought a home, someone on our team would set their desk and manually pull up data from 5 different systems, things like property records, inspection notes, HOA docs, pricing history, contract terms, stuff like that. And they would copy these things field by field into a seller disclosure PDF. It took hours per home, every single time. Last week, someone at Opendoor shipped an AI workflow that does all of this kind of automatically with no humans in the loop. It queries our data warehouse, cross-references inspection history and generates a plain English disclosure summary, fills a compliance PDF and then sends it up for review. But here's the best part. Other companies talk about how AI native their engineers are. The person I just talked about, that person is a non-engineer. He works on our ops team. He built this in his spare time in a week, no ticket field, no sprint planned. No one asked them to do this. He understood this simple fact. It's war time. And our primary weapon is our ability to prompt machines to create a new world. And he's not the only person doing this. Our ops team, sales team, compliance teams, they're all building their own tools now. Now if this is what our ops team does, I want you to imagine what our engineers are up to. So when I say we default to AI, I don't mean engineers use Copilot. That's not what I mean. Opendoor is a different type of company. It's a company where everyone, everyone is learning how to think like an engineer. Okay. With that, let's talk about what we built. We shipped a lot in Q4. I'll try to move through this fast, but I want you to see how what we shipped caused the October results. We shipped across 3 fronts, better products, bigger markets and stronger margins. And we did this, well, faster. First, we made our products better for buyers and sellers. For years, years, Opendoor's product was a one-size-fits-all product. You want to sell a home, here's an offer, take it or leave it. But look, all sellers are not the same. Someone with 80% equity in their home doesn't have the same needs as someone with 20%. But under the old model, both of these folks paid the same fee, which means that we're taking on risk and neither side wanted. The seller didn't need it and we didn't want it, but the product forced it. That's not a pricing problem. It's not an underwriting problem. It's a product problem. So we fixed it. We now put the ability to change the offer that fits your needs into your hands. You choose how much cash you want upfront and the fee adjusts, take less upfront, pay less fees, often a lot less. Every dollar that a seller does not need upfront is a dollar that we don't need to put at risk and a dollar that they don't need to pay for. So they pay less and we make more. It's a win-win. And it also allows us to serve customers that we could have never served before. This risk reduction, it allows us to do something else, too. It allows us to tighten spreads on our core cash product. It's early, but from best I can tell, this is working. We're seeing demand that we would have never seen before. And because we're seeing a lot of extra demand, we also launched our self-assessment app. With our self-assessment app, the seller takes pictures of their home and AI does the assessment work. No humans needed. And because there are no humans in the loop, in January, we nearly doubled the number of homes that we assessed compared to September. And so far this month, about half the homes we've assessed have needed 0 people to show up at your doorstep. On top of this, we expanded our buyer products, Opendoor Checkout. As of this morning, it is now live in 40 states. Opendoor Checkout embeds mortgage preapproval directly. It also supports Opendoor's Euros home credit where we give the brave men and women of America's Armed Forces $4,000 towards closing costs of a home. Opendoor Checkout also includes the Opendoor guarantee. It allows for free cancellation, warranty and early move-in. We also launched our seller guarantee. When a seller sells us a house using Cash Plus, they now get the chance to make sure they like how we are selling the home. If they don't, they can just undo the transaction and pick the home back by paying us a low restocking fee. Okay. That was a core product. Outside the core product, we also expanded our growth levers. To start, we dramatically expanded how many people we could serve by expanding our geo coverage and our buybox. It took Opendoor from 2015 to 2025 to become available as an option for about 1/3 of the homes in the U.S., 10 years. Opendoor 2.0 almost tripled that in about 10 weeks. Thanks to AI, our product went from being available to about 1 to every 3 homeowners to being available to nearly every homeowner in the Lower 48. Now you would expect that, that kind of rapid expansion would reduce risk, sloppy underwriting, margin compression, operational blowups. We saw the opposite. You'll hear Christy talk about our margin guide points in a bit, but the new system is working, and it's already generating thousands of incremental qualified leads per week with 0 incremental marketing spend. Making this work well required us to build across almost 200 MLS data sets, coordinate over 100 brokerage regions and expose 150 standardized attributes. This was hard work, but we believe software should not be limited by ZIP codes. And as we expand our product, we also significantly improved our data ingestion. We now have a nearly real-time data ingestion with over 1,000 pipelines. They serve our new market-agnostic pricing tools, and we also have a new ML model that predicts customer conversion propensity at the time of underwriting. It uses like a dozen different data points, so we can best target our sales and marketing efforts. And because we have all these new potential customers, we also focused on making sure we can grow profitably. I want to tell you something a little counterintuitive. Usually, CEOs get in front of investors and say, we're focused on cutting costs. And usually, that doesn't work and actually, it increases costs. So we didn't do that. We didn't focus on cutting costs to improve margins. We focused on improving the product and taking pride in our code and the costs started disappearing kind of on their own. Look, products frequently get better by removing things, not adding them, by deleting code, not writing it. So we deleted a lot of things. They just weren't needed. Last quarter, I talked to you about the actual debt that was weighing down the company. We're now focused on a different kind of debt, but one that is just genuinely equally pernicious. There's a concept in engineering called tech debt. It's the accumulated cost of every shortcut, every extra layer, every micro service that was added for no good damn reason. This tech debt across the entire stack is a reason that it's 2026 and connecting an office printer still feels a little like diffusing a bomb. And honestly, before the recent changes, Opendoor wasn't that much better than your printer. We weren't just carrying tech debt. We're also carrying organizational debt and the interest payments on these bad decisions were just killing us. So we started paying this down and the results are just wonderful. When Opendoor entered 2025, our annual run rate costs on hosting was $12 million a year. Exiting 2025, Opendoor 2.0's cost and hosting infrastructure is less than $5 million a year. We haven't just significantly cut the cost of providing our products to our customers. We've also made the product better. We also significantly increased the sample set used in our valuation model while decreasing our cost. This means that the run time in our model was reduced by about 50% from 12 hours to 5.5 hours. The entire pipeline can now run in a script that's about 50 lines of code and the feature building Dags are now 90% cheaper. This saves us at least $1 million a year. We also replaced third-party tools with in-house vision models for thinking through home conditions. Not only did this save us a few million dollars in backfill costs for large-scale experiments, it also brought a core AI capability fully in-house and cut the processing time for 100,000 listings from 34 hours to just 4, cheaper, better, faster. On top of this, we also cut over $1 million in cost by replacing SaaS tools with more cost-effective and genuinely better AI alternative. And we stopped paying for tools we barely used. Land and expand SaaS no longer works inside Opendoor. And we didn't just cut costs and focus on better infrastructure. We also invested in advanced ML models and data-driven pricing strategies. They're improving our margins per home while maintaining or actually improving our conversion rate. Our home sale pricing is now powered by our new ML model that avoids Opendoor's previous policy of just blanketed price drops. The model now helps us make targeted pricing decisions for every single home. We also built a new home level days in possession model using real demand signals. I think this is going to increase our dispersion by about 2x. Okay, that's a lot. Let's take a step back. Look, I opened this call by grading Opendoor against the plan that we laid out last quarter, green, yellow, red. We're not caring. We're going to keep doing this every single quarter. You can track our acquisition contracts and our progress in real time at accountable.opendoor.com. We're going to revisit this every single quarter just like we did right now, and we're going to make it reflect our path to profitability. As we learn more, we'll tell you more. You can see the results of our work, what we ship and whether it moves the needle. Please hold us to it. We're asking you to hold us accountable because this matters. There are millions of families in this country where the experience of buying or selling a home is so bad, so slow, so uncertain that people who want to do it just don't. This is a hard problem, but we're going to fix it. And for the first time, we have the team, technology and the proof points to actually do it. If you have questions about anything, DM me on X, seriously, DM me on X, I'll try to answer your questions. We're not hiding behind consultants or scripted callbacks. That's not how we operate. Christy is going to walk you through numbers, but to steal a bit of her thunder, the numbers are good. Christy?
Christy Schwartz: Thank you, Kaz. Bottom line, we're executing. Last quarter, we laid out 3 goals: scale acquisitions, improve unit economics and resale velocity and build operating leverage, and we delivered on all 3. We increased acquisitions 46% from the third quarter. Our October 2025 acquisition contract cohort is over 50% sold through or in resale contract. This represents over a 2x improvement in resale velocity compared to October 2024 and a roughly 50% improvement from October 2023. At 50% sold through, this cohort is yielding the highest contribution margins for an October acquisition cohort in company history. And we delivered all of this while reducing fixed operating expenses and holding trailing 12-month variable operations expense flat as a percentage of revenue. Our fourth quarter results reflect the early days of Opendoor 2.0. While we implemented the operational changes Kaz described, it's important to note that 94% of the homes we sold in Q4 were acquired before October. We were clearing the old book while building the new one with higher quality homes. In the fourth quarter, we purchased 1,706 homes, an increase of 46% from Q3. This marked an important inflection point as we shifted from the high spread posture of the first 3 quarters to a more tailored approach. We provided stronger offers for higher-quality homes with greater expected resale velocity and maintained higher spreads for lower-quality homes with elevated risk and slower resale clearance expectations. We delivered revenue of $736 million, representing a 20% quarter-over-quarter decline, meaningfully better than our guidepost of a 35% quarter-over-quarter decline. We sold through more aged inventory than initially forecasted, a direct result of the resale velocity improvements we've made. As anticipated, our margins face near-term pressure as we work through legacy inventory. GAAP gross profit was $57 million in Q4 compared to $66 million in Q3. GAAP gross margin was 7.7%, up 50 basis points sequentially. Contribution profit was $7 million and contribution margin was 1% compared to contribution profit of $20 million and contribution margin of 2.2% in Q3. This sequential decline reflects the continued clearing of older, lower-quality inventory acquired during the prior high-speed strategy and Q3's historically low acquisition volumes, leaving us with minimal new inventory to improve the mix. Adjusted EBITDA loss was $43 million compared to $33 million in Q3 and exceeded the favorable end of our guidance range of a high $40s to mid-$50 million loss. Net loss for the fourth quarter was $1.1 billion compared to $90 million in Q3. This included a $933 million noncash loss from last quarter's convertible note refinancing. Adjusted net loss, which excludes that item, totaled $62 million compared to $61 million in Q3. Turning to our balance sheet and capital structure. We ended the quarter with $962 million in unrestricted cash and $133 million of equity invested in homes. We held 2,867 homes at quarter end, representing $925 million in net inventory. Our nonrecourse asset-backed borrowing capacity remains robust at $7.2 billion, with total committed borrowing capacity of $1.6 billion. These facilities built over years of partnership with our lenders provided us the flexibility to scale as we execute our growth plan. Last earnings call, we announced the refinancing of the majority of our convertible notes with equity, eliminating a near-term repayment trigger. We reduced our cash interest burden, and we issued the warrants dividend to align our shareholders directly with the upside we're working to create. The foundation is set for Opendoor 2.0 operating model, and now we're focused on delivery. As we introduced last quarter, we are executing against 3 management objectives we believe are key to reaching profitability. The table in our earnings release shows our progress against each objective. Let me walk you through the highlights. First, scale acquisitions. We increased homes purchased by 46% quarter-over-quarter from 1,169 homes in Q3 to 1,706 homes in Q4. Last week, we signed 537 acquisition contracts, up from 236 contracts at the time of our last earnings call. You can continue to track our weekly progress on our dashboard at accountable.opendoor.com. Second, improve unit economics and resale velocity. We made significant progress on resale velocity this quarter. The percentage of Opendoor homes on the market for greater than 120 days decreased from 51% at the end of Q3 to 33% at the end of Q4, an 18 percentage point improvement in a single quarter. This reflects the operational changes we've made to move homes faster, better pricing, more robust monitoring system and an improved buyer experience through products like Opendoor Checkout. In addition, the margin performance and resale velocity of the October acquisition cohort demonstrates the improvements we've made in pricing and selection. I also want to be clear about what this means for our go-forward strategy. October's margins thus far have come in above our long-term target range. That's a good problem to have, but you should not expect every quarter to look like October on a margin basis. You should expect us to reinvest that spread advantage into growth, faster turns, broader coverage and more competitive offers, while we aim to maintain contribution margins within our target range. You can track our product, feature and partnership launches on accountable.opendoor.com to see how we're continuing to build velocity into the business. Third, build operating leverage. On our last earnings call, we committed to holding fixed operating expenses flat and trailing 12-month operations expense, the variable component of our operating expenses, flat or down as a percentage of revenue. We achieved both goals. Fixed operating expenses were $35 million in Q4 2025 compared to $37 million in Q3 2025 and $43 million in Q4 2024, down $2 million quarter-over-quarter and $8 million year-over-year. Our trailing 12-month operations expense as a percentage of trailing 12-month revenue held steady at 1.3% in Q4. As we scale acquisitions from this lower cost base, we expect meaningful operating leverage to emerge in 2026. These 3 objectives remain the foundation of our path to profitability, and we're executing against them with discipline, transparency. As I said last quarter, you can't build a great business in a spreadsheet. You build it by shipping product, operating with discipline and learning from the market. Now let me give you some guideposts for Q1 and the year ahead. Acquisitions. Our profitability framework remains unchanged. We're targeting approximately 6,000 quarterly home acquisitions as we exit Q4 2026. As we've learned more in production, we're refining our acquisition trajectory to be more weighted to the back half of the year. We're investing Q1 and Q2 in improving how the funnel operates to scale more efficiently. This means refining conversion, sharpening pricing and developing adjacent services to bolster unit economics. You'll also notice we've updated how we present accountable.opendoor.com. We replaced the cumulative projections chart with a single view that shows weekly actuals, a fitted trend line with its slope and a projected range for where we plan to be. Cumulative charts can mask what actually matters, whether we're accelerating and whether we're progressing towards our year-end targets. This view shows you both. We'll update the projected range each quarter as we learn more. On revenue, we expect a decrease of approximately 10% quarter-over-quarter. This is a direct function of entering Q4 with low inventory levels due to the prior high spread acquisition strategy and the successful clearing of aged inventory in Q4. We're focused on scaling acquisitions throughout Q1 to rebuild inventory with higher quality homes that underpin our improved unit economics. Contribution margin. The mix of old inventory versus fresh inventory drives margins and Q1 2026 will reflect this shift. We made a concerted push in Q4 to clear legacy inventory. The homes we're selling in Q1 2026 are more representative of our new model, higher quality and faster turns. Our contribution margin bottomed out in September and has been improving every month since. We expect to exit Q1 with the highest contribution margin we've posted since Q2 2024. Finally, on adjusted EBITDA, we expect Q1 2026 adjusted EBITDA loss in the low to mid-$30 million. This represents continued sequential improvement as we maintain cost discipline while simultaneously investing in automation and product velocity. Last quarter, we showed you the blueprint. This quarter, the house is going up. Our goal remains adjusted net income profitability by the end of this year on a 12-month go-forward basis. We have a lot of work ahead of us, but the proof points are building, and we intend to keep earning your confidence every quarter. With that, Michael, I'll turn it over to you for questions.
Michael Judd: Great. Thanks, Christy. Okay. We've had a handful of questions that center around a common theme. We grab 2 of them. First, Zach H. asks, where is Opendoor at currently compared to expectations and profitability and where would you like to be? And Ryan Tomasello from KBW asks, according to your accountability dashboard, acquisition contract volumes are running at or below the low end of your targets. Aside from seasonal factors, what are the primary macro or pricing drivers preventing a faster ramp?
Kasra Nejatian: Yes. Thanks for the questions. Look, to be blunt, we're right where we need to be. We're on track. If you had told me 3 months ago that we'd be here, I would have told you you're being a little too optimistic. Last quarter, we laid out a 4-step plan, and I think we're green across all 4 steps. We did what we said we would do, and it's working. Our contribution margin bottomed out in September, has improved every single month after that. We're going to exit Q1 with the highest contribution margin we've had since Q2 2024. Look, it's early, but things are going well. And to be clear about it, this isn't the macro helping us. This is us helping ourselves. So -- to answer your question, the reason we said our goal was adjusted net income profitability at the end of this year on a 12-month go-forward basis is because that is what needed to make sure Opendoor starts generating cash and doesn't need to raise equity ever again. That's our goal. But just like Google Map find different routes to get home, we're finding the best route to get home. And actually, let's take a step back before that. Before we become ANI profitable, we're going to become adjusted EBITDA profitable. Now I think adjusted EBITDA is not the best metric for measuring our business, and I'm not about to give you guidance. I think our lawyers have very particular feelings about me saying guidance. But to be transparent about it, the plan I have on this laptop right now has us being adjusted EBITDA profitable on an annual basis starting in Q2, right? So things are going well. Things change and company building is a little messy, but things are going really well. Now I think there's a question behind the question. There's like an actual hard question here, which is, why are you at the bottom end of your acquisition goals? Let me say 2 things. First, I reserve the right to wake up smarter every single morning than I was yesterday. I want to learn. And I've learned a lot in the last 3 months. I've learned that the levers we have at our disposal are generally working faster than I expected. And we've discovered we've had levers that I didn't think we would have. So if we wanted to hit the top end of the range, we could do it very easily. But that would come at a cost. And I want to tell you about the cost, okay? So in a product company, you always basically have 2 choices. You can invest in product or you can invest in growth. That's the back and forth, right? Engineers are your most precious resource, and they could usually work on 1 of 2 things. And like here's what I mean by this, like when you invest in product, you're putting fuel in the tank. When you invest in growth, you're spending that fuel. And this is actually key difference between product companies and not. Right now, I want to invest in having the best product we can before we go and invest in growth again. So I'm choosing to work on the funnel rather than the number that just happens to come out at the end of the funnel. Let me give you an example. This actually matters. So early in January, we took 4 engineers aside, and we asked them to work on our mortgage product. Those engineers could have worked on the Opendoor app. And I think the Opendoor app is genuinely bad and fixing it would be good and it would lead to growth. But we bought 500 homes last week and growth is going well, and we have lots of levers. So we chose to work on our mortgage product and our infrastructure over the Opendoor app. And because of that, we're going to launch our mortgage product in beta this week. Okay. Let me be blunter. We built a mortgage product in less than 10 weeks. People told me it would take at least a year. We did it in 10 weeks. This is genuinely better for the long-term growth of the company than hitting the top end of the old accountable range. What matters to us is profitability, -- and in order to get there, the thing that matters is the pace by which we exit this year, what Christy just said, 6,000 last quarter. I am very confident in the levers we have and the levers we have built, and we can hit that pace. I'm very confident when I was 3 months ago. That's why I'm so comfortable that we can take a moment to spend time investing in product to put fuel in the tank so we can burn it later. I promise I will never ever sell the future growth of our company at a discount. We're going to do the right thing and focus on the things that matter. Look, our October results proved something. They proved that what we are doing is working. The bets and the actions we've taken are the proof points we need to get to profitability. So we're going to invest in product and then growth.
Michael Judd: Great. Our next question comes to us via video submission from [ Anthony Pompliano ].
Unknown Analyst: Hi Kaz. I hope you and the Opendoor team are doing great. My question today is about artificial intelligence. Obviously, this has become really pronounced in the market. But what are you guys using it for internally? And how should that change the customer experience in the Opendoor product moving forward?
Kasra Nejatian: Thanks, [ Ben ]. I think the best example I can give you for AI use is what's happening at Opendoor in underwriting. Give me some rope. I love football. I think it's a great support. But I hate the fact that in any given football game, there's about 11 minutes of football and 3 hours of not football dressed up as football. And when I got here, Opendoor's Workday was kind of the same, like a lot of not work dressed up as work, a lot of toil that humans should not do anymore. Now look, -- every company says AI. It's like the buzzword of the day. And honestly, a lot of it sounds to me like yes. Look, real estate is basically the last industry that is untouched by technology, where we pretend humans have a better sense of what an asset is worth than a model that's been trained on decades of data. And for a long time at Opendoor, we pretended that was true, too. But machines are better at something than humans. Look, humans do taste. Machines do ETLing data, creating documents. machines do math. Here's my principle. Humans do humans work and machines do machines work, right? And -- but human work is the work that machines cannot competently do yet. So what can't they do yet, for example? The last mile of our work they can't do yet. So the house that backs onto a highway, the machines are bad at valuing the asset. That's where human judgment comes in. Our problem at Opendoor was never that we had humans in the process. The problem we had was that we had humans doing the wrong part of the process. So what have we changed, right? Our analysts are no longer doing valuations today. They're auditing what AI has prepared. They are working on evaluating the output rather than doing paperwork to prepare the input, right? Go back to football, is this one. AI kind of lets us run a no huddle offense faster and more efficient, but the [ QB ] still calls the place. So I think you asked what should investors expect? I think initially, what customers should expect first because that's actually more important. Customers should expect a fair and fast offer with fewer errors. Investors should expect declining operational expense as a portion of our revenue like we talked about and a company that doesn't move as slow as the San Francisco part. So -- and there's also a separate thing. I think there's a key thing folks don't appreciate about AI. AI constitutionally destroys some businesses and improves others, right? If you're a point solution selling SaaS, I feel sorry for you. But if you deal with a real world where the primary problems are pricing and operational complexity and variance, AI is basically like manna from heaven. It's the thing we need to make the business work.
Michael Judd: Great. Our next question comes to us via video submission from [ Catherine Ann ].
Unknown Analyst: I'm [ Catherine Morgans ] from Portland, Oregon. I became a shareholder in Opendoor in 2021. I was inspired to invest in the company following my experience using Opendoor to sell my home. It was the most streamlined and painless home selling experience that I've ever had. And I cannot imagine should I ever need to sell a home again in the future using any other option. I've been following the progress of Opendoor mainly via the Datadoor Discord. And it's been very thrilling over the past 6 months to see all of the innovation, especially with the improved implementation of AI to enhance operations and sharpen modeling. So as far as I'm concerned, things are looking very good on the, let's call it, the software front. My question has to do with, let's call it, the human front or the customer front. And that is, how do we get to the point where sellers think, I'm going to try Opendoor first before even considering going via a realtor. How do we turn that corner where Opendoor becomes the default first option that people try when they're ready to sell their home?
Kasra Nejatian: Yes. That's a great question. Defaults are like incredibly powerful and usually, folks talk about defaults the way they talk about brands. You use a [ Kleenex ], I then my friends. I put a Band-Aid on my kids legs basically every night. I want you to Opendoor your home. But brand is just another like word for reputation and reputations are earned backwards, not forwards, right? You can't spend your way into having a great brand. Otherwise, all of you, all of you would be watching me right now on [ Quibi ]. Look, selling your home is one of the most important financial decisions for average American families. Selling a home is -- it's an act of trust, right? And historically, folks have placed that trust in people, not software. Opendoor exists to build software worthy of that trust. And to become trusted, you need to have lots of people use your product, lots of people be delighted by your product, right? So my favorite example of this is like Jeff Bezos and Sam Walton, right? The best marketing is a product that delights you. Jeff Bezos didn't spend money on advertising. He spent money on making the product there fast. Same with Sam Walton. So for us, if we want to be the first place people go to, we need to kind of earn that same level of trust. And that for us starts with the offer. The offer is a product. It needs to be accurate, fair, reliable. It needs to feel great. And if I'm being honest, we're not the default yet, but we're on the right track. Like I know we're on the right track. Let me tell you why. In markets that we've been operating for a while in our mature markets, 20% of folks who go on to list their home before they call a person, they try opendoor.com. That's the beginning of looking like a default, right? As we expand more markets, we'll get there. But so how do you -- like how do you become a default? That was your question, I think. I realize I've been talking for a really long time. So in order to become a default, you have to do a few things. First, you have to be available. At the end of last quarter, Opendoor wasn't available everywhere. So we expanded all over the Lower 48. We're available to almost everyone right now. Second, you have to remove every point of friction, right? Opendoor needs to make a fair offer, a good offer, a real offer fast. Trying Opendoor needs to be a delightful experience for our sellers. And last, you need to consistently deliver value. You need to be a fast transaction, better pricing, great services, including an amazing mortgage product. And our new unit economics help us do that, right? Better unit economics means better offers, better offers build a trust. Defaults follow trust and trust follows great products.
Michael Judd: Great. Our next question comes to us from [indiscernible]. With the stock down significantly since your tenure began, how should investors assess progress? What key metrics best reflect operational improvement? What is the strategy to restore market confidence?
Kasra Nejatian: I mean, look, I just like ask your question a bit personally first. I am very highly motivated to see Opendoor's stock price go up, right? My family is the most levered family in the world on Opendoor stock. My salary is $1 and unless stock levels see levels they haven't seen in years, I don't get paid. So I don't want you to take what I'm about to say the wrong way, but I just want you to -- let me say this. I don't manage the stock price. I manage the business and look at what we're building. Now my responsibility is to create shareholder value. That's literally my job to create value for our shareholders whom I deeply appreciate. But I fulfill that. I fulfill my responsibility by not looking at the stock price every day. I fulfill it by building something people want and value. The stock price will follow. It literally always does. My favorite book, one of my favorite books is a book called the score takes care of itself. I have it on my desk. It's in our library at Opendoor. It was written by Bill Walsh. Look, Bill Walsh didn't win Super Bowls by telling his team to focus on the scoreboard. This is a football-themed earnings call. His whole philosophy was simple, like execute the right way, take care of everything, the score takes care of itself. And I'm pretty sure he won more than 82 games. The stock is not the company, right? Jeff Bezos didn't become a worst CEO when Amazon stock dropped 90%. I bet you. I bet you, he didn't even flinch. He kept building. And the stock eventually reflected the business, not the other way around. Now I've been here for 4 months. In that time, we've demonstrated clear evidence that the model we are building is working and the business is structurally improving, right? But how should you judge our progress? I think that was the question. I don't think you should do it by where the stock is today, but you should think about whether the underlying business is getting structurally better. I've given you how I would grade us, but I genuinely honestly think you should find a way to do that, too. You should build your own model on us. But I want to be transparent about this. My job is to build a company that can host a product that people want. My job is to improve the economics of that business. And everyone here, everyone who works at Opendoor is focused on executing. The score will take care of itself.
Michael Judd: Great. Thank you. Next, Victoria B asks, if home prices drop another 5% to 10% nationally, what happens to your margins and inventory risk? How prepared is Opendoor for that scenario?
Christy Schwartz: Thank you for the question, Victoria. It is the right question to ask. Opendoor 2.0 is built to move homes, not hold them. The longer you hold when the market turns, the more it hurts. So the whole game is turn faster. And here's what's genuinely different now. We have more tools than we've ever had. Previously, the primary lever was spread, price conservatively enough to absorb a market move, and that works, but it's blunt and it has terrible adverse selection. We now have a broader toolkit. First, selection. Under Opendoor 2.0, we are a more tailored approach. We offer strong prices on high-quality homes where we expect faster resale velocity, and we maintain wider spreads on homes with more risk or slower clearance expectations. Second, velocity. We reduced homes on market greater than 120 days from 51% to 33% in a single quarter. Our October cohort is clearing at 2x the velocity of October 2024. A home we own for 45 days has fundamentally different risk exposure than one we own for 180 days. And as we grow volume, the goal isn't to hold more homes, it's to move more homes. Scale and velocity compound together. Third, cash plus. This is an underappreciated as a risk management tool. When a seller opts in, they're retaining more of the price risk, and we earn fees with less capital at risk. That structurally shifts our exposure. Are we immune from a 5% to 10% decline? No, nobody is. But the question isn't whether it hurts, it's whether Opendoor is structurally positioned to navigate and withstand it. The October cohort is a great example of this. Over the past 5 months, national home prices came down roughly 300 basis points. During that exact period, our contribution margins on that cohort held steady or slightly improved. That's not hope or an expectation that happened.
Michael Judd: Great. Our next question comes to us from Andrew Boone from Citizens, who's wondering, there's some testing of a mortgage product with Lennar. Where is Opendoor in extending the services opportunity? What should our expectation for 2026 be for Opendoor to be able to attach more adjacent products to transactions?
Kasra Nejatian: I feel like I'm now on a football thing, so I need to find a football analogy. I just don't have one. Okay. Look, like I said, we started building our mortgage product in January, and we're going to launch it in beta this week. I showed it to Christy last night. I'm very, very bullish on this product. I think it's going to be good. It's going to take us a second to get all the right things because that's how products work. But I'm very bullish, and we're going to have more news on this soon. I think there was a part of the question that was about unit economics. Let me hand wave because I think the unit economics of the mortgage space are like relatively well understood. We're going to do some special things about them, but let us tell you about them when we do those things. So I think the primary unknown question is this. what will be our attach for mortgage and adjacent products, right? How many people who buy or sell a home from Opendoor take a mortgage from us? I have a hypothesis, but not a good answer. I've done this a couple of times, but we're going to underpromise and overdeliver here. But separately, I think there's very likely that there is a world where we have partners, especially our homebuilder partners that use some of the software we're building. We're building a new stack with the help of some partners, and it will be more finely tuned to people who own assets they're selling than a typical mortgage stack. I still don't have a football analogy.
Michael Judd: We can come back. Our next question comes to us from Dae Lee from JPMorgan asking, what has stood out to you so far about the quality and profitability of the homes you're buying since ramping up acquisitions? Any surprises as you pick up the pace and have those led to any changes in your approach? And looking ahead, what are the key factors or milestones you're watching most closely to gauge progress toward your current profitability and margin targets?
Christy Schwartz: Thank you for the question, Dae. As you may have noticed, the October 2025 acquisition cohort is something we've been paying a lot of attention to. And that is because that's the first cohort where we had the offers, the contracts, the acquisitions and now 50% of the resales are under the Opendoor 2.0 model. So it is a very important source of data for us. The performance of this cohort isn't just one thing. It's everything working together for the first time. So I talked earlier about selection and spread dispersion, but we are targeting higher quality, higher velocity homes so that we can turn them faster and get better selection. When you have better selection coming through the door, that really improves our operations. Those are homes that we can get relisted faster and have less variance in outcomes. And then it comes to the resale systems and our ethos. We, as an organization, fundamentally believe that it's better to identify a margin-optimized clearing price than to wait around for the perfect offer to come along. And so our machine learning pricing model, it has meaningfully improved the precision of pricing decisions, better demand signals, better timing and better calibration at the individual home level rather than blanketed spread reduction or price reductions. The result, resale velocity in our October cohort was 2x what it was in October 2024 and with margins that exceeded our expectations. And so that puts to rest the idea that speed and margin are a trade-off. We've shown the answer to both can be yes in a market that, frankly, no one would characterize as particularly strong. To answer your question about surprises, I think what surprised us was how quickly some of the changes we put in place showed up in our results. For example, the degradation. And so when you have a cohort of homes that you buy, you expect the homes that you sell right upfront to probably perform a little bit better than the homes later in the cohort. But in this last October cohort, we saw that from 10% to 50%, our margins basically held flat. They were actually up about 18 bps, and that was during a tough market. And so seeing that flat degradation was very promising. Finally, you asked about looking ahead. And I guess I would just bring us back to our management objectives, scale acquisitions. We've said we want to exit the year with 6,000 acquisitions per quarter, and that will set us up well for our adjusted net income profitability. As a reminder, we're now available through the Lower 48, and we'll start leaning into marketing in Q1 as we expand to reach those markets. Objective number two is improving margin and resale velocity so that we return to our 5% to 7% targeted CM. And objective 3, build operating leverage as we rescale. Fixed operating expenses flat or down and trailing 12-month operation expense flat as a percentage of revenue or down.
Michael Judd: Great. Our next question also comes to us from video submission and will be answered by Brad Bonney, Opendoor's Chief Business Officer.
Brad Bonney: Opendoor. My name is [indiscernible]. I'm here with my daughter, Eva, and we're in Ohama from Hawaii that relocated to Tennessee. We purchased with Opendoor a few months ago because of the convenience. We tried the traditional way many times, and we stumbled upon Opendoor. It allowed us just unlimited access to the property we're looking at. Speed of response, and it's just the easiest way to work with. We didn't need any rotor. We didn't need our attorney to help us. It was just us and Opendoor. And we're promoting Opendoor a lot to our whole [ Ohama ] because this is new to us. This is a new way of buying and selling or relocating. And because of that, that's what got us to also invest into the company because we saw something brand new, something convenient and something totally different that goes against the traditional way of buying and selling. My question to cause is, as you know, I'm a veteran. A lot of military people have to move. We come on orders really quick. And I see this being a great platform for a lot of military people, veterans, active duty. What is Opendoor doing? -- to help our community. I really appreciate the time [indiscernible] Talk to you guys later.
Unknown Executive: Thank you Brad. Thank you for your question, and thank you for your service. As a fellow veteran, you spent more than 7 years in the Navy serving primarily out of nuclear submarine. I know what it means to raise your hand and say, I will go where you need me, when you need me for as long as you need me. That commitment makes the American dream possible for all of us, and it shouldn't come at the cost of the dream itself. Nearly 400,000 service members PCS every year. That's almost 0.5 million families navigating a home sale on a time line they don't control. The traditional real estate process wasn't built for that reality. Opendoor was. Fast offers, close dates you control and certainty in an otherwise uncertain transition. Here's how we're helping. We've already launched the Heroes Home Credit. This is a $4,000 credit towards closing costs for active duty service members and veterans buying an Opendoor home. That's not just some marketing gimmick, that's Opendoor recognizing that military families already absorb significant out-of-pocket expenses every time they move. They shouldn't have to sacrifice when buying their next home too. We're building from there. We're working hard to make sure VA loans work seamlessly with Opendoor because that's how many military families buy. These are some early steps, but we really need to continue to build trust with the military community. Trust doesn't happen with ads. It happens through word of mouth. One soldier tells another how easy it is to sell their home. On sailer tells her shipmate how they seamlessly moved their family across the country. And each time, it's Opendoor who made it happen. That means the most important thing we can do is exactly what we've always said, build a product that actually works for the people who need it most and deliver on every promise we make. Every military family we help becomes an advocate and every advocate helps spread the word. Coupa, your question today is exactly what this looks like. Thank you, and thank you again for your service to our country.
Michael Judd: Great. Thanks, Brad. I think we have time for one more. And Zach H is wondering, where do you expect to see Opendoor in 2 years?
Kasra Nejatian: That's a great question. It's actually my favorite question. Before I answer that question, I want to say something. One of the things that makes me deeply proud of working at Opendoor is the number of veterans that work at Opendoor. We deeply recognize that freedom isn't free. So thank you, genuinely thank you. So where will it be 2 years from now? And what do I expect? Well, 2 years from now, I expect to be sitting in front of you telling you that we delivered exactly what we said we would do. 2 years from now, I want Opendoor to be the default that we talked about. I don't want to have to choose anymore between margin and volume. 2 years from now, we're going to get both. Two years from now, the AI infrastructure we're building right now is going to have a compounding effect across our cohorts. We're no longer going to be talking about the model. We're going to be talking about scaling it and how we can serve as many people as we can. And we're going to be okay with the people who doubt us now, taking credit for our work 2 years from now. But the most important question for me generally is where homeownership is going to be 2 years from now. Will a teacher living in Kansas City be able to afford a home on her salary so that her kids can grow up in a home owned by their mom and dad. Today, the answer to that question is no. 2 years from now, I hope can stand in front of you and say the answer to that question is yes because then our work will have mattered. Okay. Thank you. Thank you. Thanks for putting up with us. We'll see you in 3 months. Cheers.